Operator: Good afternoon, and welcome to Marvell Technology, Inc. First Quarter of Fiscal Year 2026 Earnings Conference Call. Note that all participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. I would now like to turn the conference over to Mr. Ashish Saran, Senior Vice President of Investor Relations. Please go ahead, sir.
Ashish Saran: Thank you, and good afternoon, everyone. Welcome to Marvell's first quarter fiscal year 2026 earnings call. Joining me today are Matt Murphy, Marvell's Chairman and CEO, and Willem Meintjes, our CFO. Let me remind everyone that certain comments made today include forward-looking statements that are subject to significant risks and uncertainties that could cause our actual results to differ materially from management's current expectations. Please review the cautionary statements and risk factors contained in our earnings press release, which we filed with the SEC today and posted on our website, as well as our most recent 10-K and 10-Q filings. We do not intend to update our forward-looking statements. During our call today, we will refer to certain non-GAAP financial measures. A reconciliation between our GAAP and non-GAAP financial measures is also available in our earnings press release. Let me now turn the call over to Matt for his comments on the quarter. Matt?
Matt Murphy: Thanks, Ashish, and good afternoon, everyone. For the first quarter of fiscal 2026, Marvell delivered record revenue of $1.895 billion, above the midpoint of guidance, reflecting a 4% sequential increase and strong 63% year-over-year growth. The data center end market continued to deliver strong growth, driven by robust AI demand. In addition, we were pleased to see ongoing revenue recovery in our carrier infrastructure and enterprise networking end markets. Higher revenue versus our forecast also resulted in record non-GAAP earnings per share, which came in above the midpoint of guidance. In addition, we significantly increased our stock repurchases in the first quarter, buying back $340 million, a substantial step up from the $200 million repurchased in the prior quarter. During the first quarter, we announced the sale of our automotive Ethernet business to Infineon in an all-cash transaction valued at $2.5 billion. We are extremely proud of the progress we have made in organically building and expanding this business, which we expect will deliver a compelling financial outcome for Marvell's stockholders. The closing of this transaction, which we expect within calendar 2025, will provide us with additional flexibility in our capital allocation strategy. We started our new fiscal year on a strong note with Q1 results ahead of plan and are forecasting second-quarter revenue of $2 billion at the midpoint of guidance. This represents 57% year-over-year growth and would set another record revenue level for Marvell. Let me now discuss our results and expectations for each of our end markets. In our data center end market, we achieved revenue of $1.44 billion in the first quarter, growing 5% sequentially and 76% year-over-year. Looking ahead to the second quarter, we expect this momentum to continue with data center revenue projected to grow sequentially in the mid-single-digit range on a percentage basis while maintaining strong year-over-year growth. These strong results, along with our second-quarter guidance, are being driven by the rapid scaling of our custom AI silicon programs to high-volume production, along with robust shipments of our electro-optics products for AI and cloud applications. We continue to expand the capabilities of our advanced technology to enable our customers to build full rack-level custom infrastructure, including innovative technologies such as custom high-bandwidth memory and co-package optics. Marvell's custom HBM compute architecture enhances XPUs by optimizing the IO interfaces between accelerator silicon and the memory embedded in the package. This enables AI custom compute accelerators with much more efficient integration of main memory, which can increase performance and reduce run times, resulting in increased utilization. We continue to see strong interest from multiple customers who are targeting the highest performance and optimized TCO for their upcoming AI solutions that leverage the most advanced HBMs. Marvell's breakthrough co-package optics platform enables customers to integrate our silicon photonics light engine into future custom AI accelerators. Co-package optics can drive a transition from copper interconnects to optical fiber for scale-up AI clusters. This technology will enable larger AI servers with significantly total system memory capacity and processing capability, which we expect will provide the scaling headroom required for the next wave of AI models. We expect this transition from copper, which does not contain any active silicon, to optical interconnects to significantly expand Marvell's interconnect revenue and market opportunities. Earlier this month, we announced two new additions to our custom platform. First, we announced the partnership with NVIDIA, adding their NVLink fusion technology to our expanding custom platform. Marvell custom silicon with NVLink Fusion provides our customers with an accelerated path to custom scale-up solutions, offering greater flexibility and choice in developing next-generation AI infrastructure. This further validates the proliferation of custom XPUs as a strong complement to merchant solutions. In addition, earlier today, we announced Marvell's new multi-die packaging platform, the first of many advanced packaging innovations we are bringing to the market. The solution is already qualified and has entered production in support of a customer-specific XPU program. The platform enables customers to realize multi-die architectures utilizing differentiated Marvell design interposer technology. The approach can enable more efficient die-to-die interconnect, lower power consumption, increased yields, and lower product cost. Our Vault solution offers a compelling alternative to traditional silicon interposers for custom cloud applications. We expect to proliferate this technology more broadly in next-generation design. Moving on to the progress we are making in our custom business, we are benefiting from revenue contributions across multiple programs, including XPUs and other accelerators. Our lead XPU program for a large US hyperscale data center customer is doing extremely well and has become a key revenue driver for our custom business. I'm incredibly proud of our team and the close collaboration with this customer to drive this program to volume production, with a zero silicon and meet the customer's steep ramp. As I mentioned last quarter, we are fully engaged with this customer on follow-on generation, and I'm pleased to report that we have now secured three-nanometer wafer and advanced packaging capacity and expect to start production in calendar 2026. At the same time, our architecture team is working with the customer to support the definition of the generation after that. This is all consistent with the multigenerational nature of these engagements, reflecting the benefit of working with Marvell over the long term. As a result, we anticipate that our revenue from custom AI XBUs for this will continue to grow next year, fiscal 2027, and beyond. At our AI Day last year, we also announced a significant design win for a custom AI XPU with another US hyperscaler. Joint development on this program continues to progress well, and we are already engaged with this same customer on the architecture for the follow-on generation of this AI XPU program. I'm very pleased with the strong progress we are making across both our current and upcoming custom programs. This momentum reinforces our confidence in achieving our long-term goals for customer revenue. We will be highlighting our broad and expanding range of opportunities at our custom AI investor event on June 17. I will share more details about this event in a moment. Turning to our interconnect portfolio, our PAM and DCI franchises continue to lead the industry in enabling the build-out of AI and cloud infrastructure. At this year's optical fiber conference, we showcased a broad range of products, technologies, and ecosystem initiatives designed to power the next generation to scale up and scale out AI deployments, including the industry's first 400 gig per lane PAM technology, a critical step towards 3.2 t optical interconnects, enabling pluggable transceiver modules to remain the dominant solution for scale-out connectivity for the foreseeable future. 6.4 t consolidating hundreds of components into compact modules optimized for both pluggable and CPO applications. 1.6 t linear drive pluggable optical modules using Marvell's silicon photonics light engine. The industry's first three-nanometer 1.6 t PAM four d featuring 200 gig per lane electrical and optical interfaces enabling customers to reduce module power consumption by more than 20% compared to its predecessor. Next-generation 800 gig DCI modules supporting data transmission over distances up to a thousand kilometers. Production-ready 1.6 T AEC DSPs emerging 200 gig per lane accelerated infrastructure, coherent light DSPs enabling power and performance solutions for the emerging market of distributed campus data center interconnects. Spanning distances up to 20 kilometers. And finally, PCIe Gen six and Gen seven SerDes for end-to-end connectivity over optics. We received highly positive feedback from customers, partners, and industry analysts during the event, making OFC 2025 another home run for the Marvell team. Now let me turn to Marvell's enterprise networking and carrier infrastructure end markets. In the first quarter, enterprise networking revenue was $178 million, while carrier infrastructure revenue totaled $138 million. Collectively, revenue grew by 14% sequentially, exceeding the midpoint of our forecast and reflecting the ongoing recovery in both end markets. Looking ahead to the second quarter of fiscal 2026, we expect aggregate revenue from enterprise networking and carrier infrastructure to grow sequentially in the mid-single-digit range on a percentage basis. In the consumer end market, first-quarter revenue was $63 million, representing a 29% sequential decline. Looking ahead to the second quarter, we expect consumer revenue to grow by approximately 50% sequentially. These sequential changes are largely driven by seasonality, and gaming demand continues to be the primary factor driving our consumer business. Turning to our automotive and industrial end market, first-quarter revenue was $76 million, declining by 12% sequentially. While we saw sequential growth in our automotive end market, this was more than offset by a decline in our industrial end market, where order patterns can be lumpy in any given quarter. Looking ahead to the second quarter of fiscal 2026, we anticipate overall revenue from the auto and industrial end market to be flat on a sequential basis. In summary, in the first quarter of fiscal 2026, we continued to deliver operating margin expansion, earnings per share growth, and new revenue records. These results reflect strong contributions from our AI-driven data center end market and ongoing recovery in our enterprise networking and carrier infrastructure. While there are ongoing macroeconomic uncertainties, we are guiding for continued growth in the second fiscal quarter. We continue to closely monitor the broader environment to assess potential long-term impacts. As I mentioned during our March earnings call, AI now represents the majority of our data center revenue, and we expect the relative proportion of AI-related revenue to grow further in the coming years, driven in large part by our custom silicon business. We've made tremendous progress since our AI era of last year, and in light of this momentum, we are hosting a dedicated forum on June 17 for investors to gain deeper insight into Marvell's unique position in the custom silicon market. This event will be broadcast live and provide an ideal setting to showcase our differentiated technology platform and provide an opportunity to hear directly from me and a broad cross-section of Marvell's engineering leadership and members of my direct staff. Presentations will be followed by a Q&A session, providing investors and analysts an opportunity to ask questions. During the event, we will highlight our expertise in system and semiconductor design, our advanced process and package roadmap, and our comprehensive portfolio of semiconductor platform solutions and IP. Complementing this technical deep dive, the agenda will include a market-focused section with updates on the expanding market opportunity for custom silicon, a robust design win pipeline, and the growing role of custom silicon in AI infrastructure. We will also share our progress towards the market share goals we set at our AI era event last year, along with our vision for significant growth in the years ahead. We are excited to share more details about this incredible custom silicon opportunity on June 17. Looking more broadly, we continue to see strong tailwinds in AI, including robust capital expenditure plans from hyperscalers, an increasing number of sovereign data center announcements, and an emerging group of hyperscalers further expanding the market. These fast-growing markets present us with a diverse set of opportunities, increasing our confidence in the long-term potential of our data center business. In addition, we are seeing an encouraging recovery in carrier infrastructure and enterprise networking, with our second-quarter forecast representing the fifth straight quarter of sequential revenue growth for these combined end markets. With that, I'll turn the call over to Willem for more detail on our recent results and outlook.
Willem Meintjes: Thanks, Matt, and good afternoon, everyone. Let me start with a summary of financial results for the first quarter of fiscal 2026. Revenue in the first quarter was $1.895 billion, exceeding the midpoint of our guidance, growing 63% year-over-year and 4% sequentially. The data center was our largest end market, contributing 76% of total revenue. GAAP gross margin was 50.3%. Non-GAAP gross margin was 59.8%. Moving on to operating expenses, GAAP operating expenses were $682 million, including stock-based compensation, amortization of acquired intangible assets, restructuring costs, and acquisition-related costs. Non-GAAP operating expenses came in at $486 million, slightly below guidance. Our GAAP operating margin was 14.3%, while non-GAAP operating margin was 34.2%. For the first quarter, GAAP earnings per diluted share was $0.20. Non-GAAP earnings per diluted share was $0.62, reflecting year-over-year growth of 158%, which is more than double the pace of revenue growth, demonstrating the significant operating leverage in our model. Now turning to our cash flow and balance sheet. Cash flow from operations in the first quarter was $333 million. Our inventory at the end of the first quarter was $1.07 billion, an increase of $42 million from the prior quarter, to support the growth in our business. We returned $52 million to shareholders through cash dividends. In addition, reflecting our strong belief in Marvell's future prospects, we significantly increased repurchases in the first quarter, buying back $340 million of our stock, stepping up from the $200 million we repurchased in the prior quarter. Our total debt was $4.2 billion, with a gross debt to EBITDA ratio of 1.8 times and a net debt to EBITDA ratio of 1.42 times. Our debt ratios have continued to improve as we have driven an increase in our EBITDA. As of the end of the first fiscal quarter, our cash and cash equivalents were $886 million. Turning to our guidance for the second quarter of fiscal 2026, we are forecasting revenue to be in the range of $2 billion, plus or minus 5%. We expect our GAAP gross margin to be between 50-51%. We expect our non-GAAP gross margin to be between 59-60%. Looking forward, we anticipate that the overall level of revenue and product mix will remain key determinants of our gross margin in any given quarter. For the second quarter, we project our GAAP operating expenses to be approximately $735 million. We anticipate our non-GAAP operating expenses to be approximately $495 million. For the second quarter, we expect other income and expense, including interest on our debt, to be approximately $49 million. We expect a non-GAAP tax rate of 10% for the second quarter. We expect our basic weighted average shares outstanding to be $864 million and our diluted weighted average shares outstanding to be $874 million. We anticipate GAAP earnings per diluted share in the range of $0.16 to $0.26. We expect non-GAAP earnings per diluted share in the range of $0.62 to $0.72. In summary, we continue to drive strong revenue growth, expand our operating margins, generate strong cash flow, and return increasing amounts of capital to our stockholders. We are looking forward to completing the sale of our automotive Ethernet business to Infineon, which will provide us with even more flexibility in our capital allocation strategy. With that, we are ready to start our Q&A session. Operator, please open the line and announce Q&A instructions. Thank you.
Operator: Thank you, sir. We will now begin the question and answer session. To ask a question, you may press star then 1 on your touch-tone phone. If you are using a speakerphone, please pick up your handset before pressing the keys. And in the interest of time, please restrict yourself to one question only. And if you have additional questions, please rejoin the queue. At this time, we will pause momentarily to assemble our roster. And our first question comes from Vivek Arya at Bank of America. Please go ahead.
Vivek Arya: Thank you, and thanks, Matt, for clarifying that you have that three-nanometer program at your large XPU customer and have the follow-on program at the other large. Just given all the Asia supply chain noise, I guess I have two related questions. One is what is the direction of content in these next-generation programs? You know? Is it up, down, or flat? And number two, are you exclusive on these three-nanometer XPUs, or do you expect to share that program given that, you know, your competition also seems to be convinced that they have the program? So just, you know, comments on content and exclusivity. Thank you.
Matt Murphy: Vivek, thanks for the question. So first, yes, I'm glad you said it. I can certainly appreciate the challenge for investors given the news flow that is coming out on seemingly a weekly basis here. The fact is that these Asia supply chain sources have an incomplete view. We run a very tight ship here at Marvell. We don't share customer confidential information. We treat that with the highest priority. So they simply have no idea what we're doing for our customer. So let me state the facts as they exist today. We're the incumbent shipping the current generation of this AI XPU, and we, as I've detailed, we've had a very successful and rapid ramp on this program. From a zero, which is first-time success, to high-volume production. I've talked about this for a couple of quarters. We've been engaged with this customer on the follow-on generation of this XPU. This next-generation program has continued to move forward, and this quarter, we have secured three-nanometer wafer and advanced packaging capacity. And that's for 2026, where we expect to start production, and that would be subject to the typical completion of our customers' cycles, which we now have some experience with. And so assuming AI CapEx continues to grow, we expect our custom silicon revenue to continue to grow next year through program transitions at this customer. So, look, our customers have relationships with many partners, and they do that to build out their whole silicon portfolio. The key point is that irrespective of any of these relationships, we expect our revenue to continue to grow on a multiyear, multigenerational basis with this customer. And given the volumes that have materialized for XPUs, it's certainly possible and likely that customers and our customer may be pursuing multiple paths to meet their requirements. So thank you for asking this important question, Vivek. I think my answer is as clear as it could be.
Vivek Arya: Thanks.
Matt Murphy: Thank you.
Operator: Thank you. Next question will be from Ross Seymore at Deutsche Bank.
Ross Seymore: Hi, Matt. Thanks for that color. Following on Vivek's question, one of your primary XPU competitors has talked about engagements at additional customers and not necessarily to front-run anything you may or may not say on June 17, but how do you see Marvell's ability to support a broader customer base beyond the initial, I guess, three/four that you have depending upon if we're talking XPUs or connectivity.
Matt Murphy: Yeah. Thanks, Ross. Yeah. We'll cover this certainly at the AI investor event we'll be holding. But just to give you some color, we absolutely have the capacity engineering-wise to expand our portfolio and expand our engagements. If you look at Marvell's R&D spend over the last few years through Cycle, we've made increases there. And then within that, as part of our capital allocation strategy, we've aggressively repurposed and reallocated our talent and our teams to this massive data center and AI opportunity. So if you look at just the raw R&D spending, the investments we're making in next-generation technologies, and we're gonna cover all this at the AI day. We are extremely well positioned to support and are supporting multiple increased engagements across a number of programs that we'll detail and we'll talk about and we'll frame at the AI investor event. But I think we're very well positioned to support designs that can really grow the company to even a much larger scale and level. And I would say also, by the way, it's not just, you know, the top sort of four. I think there's been a really interesting emergence over the last year or so of the next wave of hyperscale kinda class customers that can benefit from our technology, relative to going custom. So we're gonna talk about all that, just a couple of weeks out here. Look forward to talking to you then. Thank you.
Operator: Next question will be from Tore Svanberg at Stifel. Please go ahead.
Tore Svanberg: Yes. Thank you, and congrats on the results. Maybe in the spirit of clarifying things, you know, there's a lot of debates out there about your SerDes technology, especially, you know, for 200 gig SerDes. So, you know, maybe you could talk a little bit about Marvell's positioning there. And maybe related to that, you know, how this relationship with NVIDIA is gonna, you know, work out. Sure there's a lot you can't share with us, but, you know, I tried anyway.
Matt Murphy: Yeah. Sure. Yeah. On the first topic, and we'll actually be showcasing this at our 200 gig, it's performing extremely well. And we just showed off at OFC the first and only 400 gig per lane demonstrations with, you know, a very aggressive roadmap there. So that is in great shape. Our technology across the board, both electrical and optical, SerDes. And tell me your second question.
Tore Svanberg: Yeah. With the NVLink fusion and how that's gonna work out.
Matt Murphy: Yeah. So that's, I think we're excited about that partnership. I think it demonstrates how well, one, you know, we're deeply engaged in the ecosystem, Tore, with key partners. And the second, I think it's some validation as well that a market standpoint, there is a complementary role for custom even as acknowledged by NVIDIA. Who, you know, can leverage sort of the R&D investment they've already put in, in their rack scale solutions, but with people that wanna do their own XPUs. And so we're part of that discussion, and we're gonna help enable that if that's the direction our customers wanna go. And we just view it as another key piece to the whole portfolio that we offer to customers end to end. And I detailed some of those in my prepared remarks as well. Around things like custom HBM, co-package optics, advanced packaging, and others. These are really just it's really part of a suite of technologies to give the broadest offerings to our customers with the best-in-class technology.
Tore Svanberg: Thanks for all that color, Matt.
Operator: Next question will be from Timothy Arcuri at UBS. Please go ahead.
Timothy Arcuri: Thanks a lot. Matt, I was wondering if you can break down data center revenue a little bit. I think last quarter, you said that AI was about 55% of data center. I wonder if it was in the same range. I assume maybe custom silicon grew a little because the gross margin was a little bit lower. So I guess that's the first part of the question. And then, obviously, you're running way above this $2.5 billion number this year for AI revenue. Can you give us just a sense of where it's tracking for the year? Are we talking like $3.5 to $4 billion? Maybe you'll talk about this at the, you know, day here in a few weeks, but I'm wondering if you can sort of, you know, add some color to this for us. Thanks.
Matt Murphy: Yes. Thanks, Tim. Yes, we didn't give an exact number when we talked about it. Relative to our Q4 was the data point we gave. But we did say that at that time, that within data center AI had crossed and was now the majority of our data center revenue. And I think the way to think about it is because we're not gonna break it out on a sort of quarter-by-quarter basis. But as I've prepared for the call and then been looking at the trajectory of the business, and I say this with also, you gotta factor in that we anticipate the mass market and the core business to continue to recover. You know, we see a path here in the not too distant future where AI is not only the majority of the data center end market, but it becomes the majority of whole co. And so where that line is exactly, you know, we're not calling it, but that's the trajectory. So I think the mental shift is, like, not sort of figuring out within data center that exact number is, but you would, you know, you can do your own models. You guys are very, very capable there. Drawing a line between here and when it can actually cross as a 50% contributor to the whole company. But that's coming.
Timothy Arcuri: But I guess then, is that why so did the customer think does this grow a little faster than that? That's why the gross margin was a little lower?
Matt Murphy: Oh, yeah. On that side of things. Yeah. There's mix within the quarter. And clearly, the custom business we have does run at a fundamentally lower gross margin. So that is gonna modulate our gross margins on a quarterly basis, and you've seen the impact. But we've also had, I think, strong recovery in some of the other businesses as well. But that's always been fundamentally the custom business, a lower than company average gross margin.
Timothy Arcuri: Yeah. Maybe I can add quickly. And you know, when you look at our Q2 guides and the custom, you know, continues to grow really strongly and that's what you're seeing reflected in that. When we look forward to the second half, clearly, we're optimistic about custom demand. And that interplay between that and the rest of the business is really gonna drive what gross margin will be in the second half. Right now, probably expect it to be in a similar range as what we guided for Q2.
Timothy Arcuri: Okay. Thank you, Will.
Willem Meintjes: Yes. Thanks, Tim.
Operator: Next question will be from Chris Caso at Wolfe Research. Please go ahead.
Chris Caso: Yes. Thank you. Good evening. I guess the question is regarding the second half of the year, and I'm sure you're not ready to provide that guidance right now. But could you give us some puts and takes on, you know, what your expectations may be? You expect the custom business to continue to grow in the second half of the year? You know, what do you expect with regard to, you know, the carrier enterprise businesses? Is this kind of a slow steady ramp in those businesses? Any kind of color in the second half, please?
Matt Murphy: Yes. Thanks, Chris. Yes, maybe just at a higher level. And I said this in some of my prepared remarks, but we're monitoring, you know, the macro and the various dynamics going on out there. So that's always a factor. But at the moment, you know, we see a couple of things happening. The first is in just even recently as yesterday, you see strong numbers out of NVIDIA and other announcements leading up to that. But we see the AI demand continuing, and our data center demand continuing. And then on top of that, we have a nice recovery, strong recovery, actually, we've been driving in our core business, in particular, enterprise networking and carrier. So we expect that to continue to recover and grow throughout the rest of the year as well. So we're not calling on a quarter-by-quarter basis, but right now, we expect growth kind of across the board through the year with, I think, what can be a really nice setup for fiscal 2027 with some of the growth drivers we've articulated before. So that's where we're at right now, and I feel good about it.
Chris Caso: Thanks.
Matt Murphy: Thank you.
Operator: Next question will be from Harsh Kumar at Piper Sandler.
Harsh Kumar: Yeah. Hey, Matt. Congratulations on solid results. When we talk to investors, Matt, we find that there's a desire on part of investors for the data center business to grow faster than, let's say, what you've been putting up mid-single in the April and then also the guidance. I know that in the last quarter, Matt, you had some moving parts with on-prem, etcetera. I was hoping that you could clarify the growth of your AI business versus some of the non-AI pieces like on-prem or some other things that might be moving around and just help us understand how fast maybe your AI business is growing.
Matt Murphy: Yeah. Thanks, Harsh. Yeah. And I think the way to think about it is helpful is to contextualize. You know, it's not a one-quarter snapshot. So, you know, if you look at the last few quarters, you know, we had a very dramatic step up from Q3 to Q4, you know, 20% plus in the data center business. It grew four. We're guiding it up mid-single. I just kinda gave some indication that it'll keep growing. And so if you look at the year, so that's one way to think about it is we did have a significant step up. And Q2 has signaled as is looking like it's gonna grow slightly faster than Q1. So that's a good sign. But, also, I'd point you to the fact that, you know, look, a year ago, we were in a very strong position relative to our data center and how it was growing. So the comparables are also telling, right, when you're talking about data center year-over-year revenues for a company at our scale growing, you know, 70% plus. On a year-over-year basis, we feel good about that. So I think with that setup, if you look at just the last, you know, two, three quarters and you look at year-over-year, we feel really good about the trajectory of the business. And you know, AI continues to be the fastest portion of that in terms of our data center business. And as I said earlier, to answer Tim's question, you know, at some point, that'll just flip over and become, you know, half of Holco. So I think that's the context I can give you at the moment. Thanks.
Harsh Kumar: So, Matt, hopefully, can talk about the on-prem piece if possible, or other parts that are moving.
Matt Murphy: Well, yeah, the on-prem is pretty small at this point. So it has some effect, and it's always, you know, continue to be a little bit of a drag. But, you know, the overall data center revenue is driven primarily by AI, and the other stuff's performing pretty much in line. I don't think it's a drag going forward. I think if you're worried about, like, where does it land in the next few quarters, it's not as big a contributor as it used to be. And it's probably where it is. Maybe it comes back a little bit, but the spending has shifted just so dramatically, right, in the data center. The enterprise on-prem piece is just not getting the spend anymore. So I think it was down a little bit in Q1, but it's relatively stable.
Harsh Kumar: Yeah. Thank you. Thank you so much.
Matt Murphy: Yep.
Operator: Next question will be from Tom O'Malley at Barclays. Please go ahead.
Tom O'Malley: Hey, guys. Thanks for taking my questions. I have two quick ones. First one's for Willem. You are guiding data center at mid-single digits into the out quarter, and you're saying custom silicon is growing quite strongly. Is there something going on with optical? Is that flattening out a bit? Is there anything going on? Can you give us an update on the health of optical and what you're embedded in your guide? And then the second is Matt. In your announcement with Amazon, you talked about a bunch of other products other than custom silicon that you guys were engaging with over the next couple of years. PCIe cables, PCIe retimers, AC. Could you maybe try to size what that impact is right now? Some of your competitors in that space are putting up some bigger numbers. We'd love to see how significant that is for you guys. Thank you.
Matt Murphy: Yeah. Thanks, Tom. Maybe I'll take the second part first. Yeah. I think those engagements are going very well. You're right. In our broader agreement, there was actually a lot of exciting opportunities on the networking connectivity side. Those are progressing, but no major updates there. And then with respect to how the optics business is doing, it's done quite well. And in fact, you know, we see that business growing throughout the year this year. So we see both growth from custom as well as optics. And then again on the Amazon agreement, progressing well. I would say just at a high level too, we have, you know, in some of these new emerging categories, we do have AEC ramping this year. I wanted to note that. And as well as continued revenue growth in switching. So a lot of good things happening there, Tom.
Willem Meintjes: Yeah. Coming up, and I'll just add quickly in terms of, you know, the puts and takes on gross margin. You know, the other one to take into account there is the strong snapback on consumer. You know, that's seasonal and expected. But that's another area that's typically slightly below average when you look at the overall. Could we have the next question, please?
Operator: From Harlan Sur at JPMorgan.
Harlan Sur: Hey, good afternoon. Nice job on the quarterly execution, guys. The lead AI GPU vendor, I think, is getting ready to commence shipments of the next-generation platform. And in parallel, they're rolling out their next-gen x 800 InfiniBand and using that scale-out solutions that support 1.6 optical connectivity. And, typically, like, the optics start to ship ahead of the GPUs and wrap scale platforms. So do you anticipate a strong ramp of your 1.6 t solution starting now? More importantly, your five-nanometer solution, I think, is already qualified with this set with this customer. Are you guys gonna be mapping your three-nanometer DSD solution into this next-generation, next networking platform?
Matt Murphy: Yeah. Thanks, Harlan. And you're right about the sequencing. And so we have commenced shipments on 1.6 t at five nanometers. We have very strong demand for three. And we've executed very well on that product development so far. And so I think that's from a 1.6 t kind of lifespan perspective, I think that's where the volume is gonna be. And I think that's gonna be a much stronger ramp next year. And some of that I say too because the 800 gig has continued to be so strong kind of across the board. That just as a percentage of the total, it's still largely dominated this entire year by 800 gig. Yeah, we're shipping now. The part works well. But there's just a lot of demand to, you know, initial ramps and customers will be on five nanometers. But there's a big push in the ecosystem to drive it to three nanometers given the compelling power savings and the performance of our product. So all that's going well. We're well positioned for the 1.6 t ramp and ecosystem expansion.
Harlan Sur: Thanks for the update, Matt.
Matt Murphy: Yeah. Thanks, Harlan.
Operator: Next question will be from Blayne Curtis at Jefferies. Please go ahead.
Blayne Curtis: Hey. Good afternoon. Thanks for taking the question, and thanks for clarifying all that ASIC stuff. I just kind of wanted to ask going back to the gross margin. So I think there's been a lot of discussions about, you know, what an ASIC vendor can charge for and not charge, whether they charge for memory. You know, I think you guys kind of put a line in the sand at a certain gross margin for ASIC. I'm curious if that's still the right level. And when you look at these next generations, I'm glad you're involved with all those. You know, how should we think about, like, sustainable AI gross margins? Is it still in the original range you're looking at?
Matt Murphy: Yeah. Thanks, Blayne. Yeah. When we look at our overall, you know, custom business as a whole, we've been able to manage the gross margins, you know, even with these ramps in the range we've talked about. But within custom, there is a range. And it's like the old, you know, the old adage in semiconductors. You know, the higher the volume, you're gonna see lower gross margins, but you're going to see a lot more operating income. And so that's what we see. I wouldn't say that the percent change is really any different relative to how it stacks up on the opportunity set. You know, things that are a lot more Marvell contribution, as an example, where we leverage a lot of the IP. And maybe more outside the XPU. Those tend to be a little higher. And, of course, they don't grab the limelight, but we're gonna talk about those at the AI day because they actually, you know, in aggregate, add up to a very nice revenue pipeline for us, an opportunity set with also that same multigenerational aspect to it. But from a percent standpoint, we're managing the business fine, and the AI portion is always gonna be lower. It's just that as the XPU, depending on the magnitude of that, that may move that mix around. But I know there's a certain range for these programs and projects, and we haven't really seen that change. The magnitude of the volume has changed. But I'd say that's across the board, by the way, not only of the XPUs that we have going in flight or in production, increased a lot from when we won them. But now these other types of accelerators or custom networking or custom NICs or things of that nature, those have also, quite frankly, you know, those are a lot more volume than we had anticipated. And those carry a little bit higher margin. So I hope that context is helpful, but we're still managing the business in the same way.
Blayne Curtis: Thanks, man.
Willem Meintjes: But maybe one additional add is just on operating margins. So I think the one thing that's consistent across all these programs is that we're driving accretive operating margin to our model. And so, Kitty, there is a range. But as you scale those programs, it's a finite investment. And you've seen that leverage in our model over the couple of quarters here.
Matt Murphy: Yeah. I mean, I think you're seeing it in operating margin dollars flowing in, Blayne, and also in EPS, right, which still continues to grow like twice the rate of revenue at this point. So, and we don't see that changing relative to the leverage we get on these big programs. Very operating margin rich in terms of just the dollars.
Blayne Curtis: Thanks, guys.
Operator: Yeah. Thanks. Next. Next question will be from Quinn Bolton at Needham and Company. Please go ahead.
Quinn Bolton: Hey, thanks for taking my question. Matt, I wanted to follow-up on the deck question or maybe just a clarification on whether these ASIC programs could potentially be dual-sourced. I think towards the end of your answer, you said that there could be multiple paths, and I'm not sure if you're sort of suggesting there might be different versions of an XPU or whether they could actually be dual-sourced. To the extent that they're dual-sourced, you spent years designing these programs. Do you guys have guarantees that you don't get blanked at the end of the year if they, you know, take the other path?
Matt Murphy: So, no, Quinn, I appreciate the question. I was quite lengthy in my prepared remarks and even my, I think, Vivek answer in terms of what I've the perspective I can offer you on that. So I think I've said it, and if I wasn't clear, you know, I did say that given the volumes, it's certainly possible that there are multiple paths pursued. For us in our business and what I said in the prepared remarks as well as we feel very confident and very good about our revenue continuity on the initial program and the revenue ramp on our additional program. We're planning production. We're tracking. We're doing that. So, you know, I see the noise coming in. But I'm also just need to kind of focus on what I'm hearing from my customer and what we need to go do to execute to be a good partner.
Quinn Bolton: Got it. The second question is just a follow-up on the NVIDIA Fusion. Are you guys is NVIDIA sort of open up their NDLink and you design your SerDes to be compatible with that and you offer that out as an IP block to your ASIC customers? Or is there an IP transfer from NVIDIA to yourselves involved in that NVLink fusion offering?
Matt Murphy: Yeah. The initial intent is it's planned as a chiplet solution. And so, we could, for example, work with a customer, do the XPU design with them, and then through IO chiplets, take data interface between the XPU and the NVLink chiplet, and then that interfaces to the scale-up network. There's probably other models that can exist. I think the higher-level notion that Jensen and the team are driving is really trying to open up and make sure that customers can take advantage, right, of the investment they've made in their infrastructure. Even if they have unique needs down at a more granular level like at the XPU. So we'll see how that all evolves, but we were very happy to be asked to participate and be a partner and we've already received a whole bunch of interest from customers on what this engagement might look like. So we'll see where it goes, but I think the high-level concept is what is important.
Quinn Bolton: Got it. Thank you.
Operator: Next question will be from Srini Pajjuri at Raymond James. Please go ahead.
Srini Pajjuri: Thank you, Matt. My question is on the optical side. I know you said your expectation for this year is for the optical business to grow. Obviously, you know, you have the 1.6 t ahead of you, and you also said 800 gig demand is quite strong. But a couple of questions we get from investors. One, can you speak to your market share as we go from 800 to 1.6 t and also, you know, the potential impact from any technology transition such as LPO. And then second question is, can you speak to, you know, to the extent you have visibility what is the current inventory, you know, that you see at your customers? Because, you know, that question keeps coming up given how strong this cycle has been so far. Thank you.
Matt Murphy: Yeah. Thanks. So, yeah, we see, you know, we've maintained very strong market share in the 800 gig wave. We led it, you know, a few others have come in, but we still have a very, very strong position, commanding position there. We were first to market at 1.6 t, five nanometers, first to market at 1.6 three nanometers. We're driving 400 gig IO, which is gonna enable 3.2 t based on PAM. So I don't see any fundamental shift at all in the market share. And quite frankly, the faster we execute and the faster we ramp, these ramp the better because of the lead we have. So we feel good about that. Any adoption, I should say, not impact, of new technologies like LPO I view this as very incremental. Those would be for things like scale-up, and we will participate in those. You know, we have solutions based on our broadband analog technology, and we'll participate in an LPO when it happens. Our view still is that's gonna be a smaller portion of the market, but we will be there. And we're engaged right now. Then I think your last question was just about the broader inventory. Right. At our customers. Yeah. So that looks pretty good. I mean, we service this business direct. We service through a number of channels, but key data points, you know, like, distribution inventory and things like that, that's very low. We had strong sell-through last quarter. You know, we're looking at the whole year, and it still looks like a good year. We gotta wait and see. We're only doing one quarter at a time here, but high level this year and next year, especially with the 1.6 transition. We see continued strong growth in our optics business.
Srini Pajjuri: Got it. Thank you.
Operator: We will take our last question from Josh Bacalter at TD Cowen. Please go ahead.
Josh Bacalter: I wanted to follow up on a couple of previous ones. Can you maybe elaborate on what you would expect to see from a potential customer who's exploring multiple tracks? Is that generally a performance SKU and efficient SKU? Or could you see instances where your hyperscale customers are engaged on completely different ASIC programs for completely different workloads?
Matt Murphy: Thank you. Yeah. Thanks. Nice to meet you. Yeah. What I think for the I think I've covered kind of as much as I'm going to on the topics from today. But I do think there'll be some discussion probably at the AI Day around some of the different business models that are out there and different things customers are looking for. But at the moment, I think I've given kind of the max color we're gonna do on this. So I but I appreciate the question. Thank you.
Josh Bacalter: Thank you.
Operator: This concludes our question and answer session. I will now turn the call over to Matt Murphy, Marvell's CEO, for closing remarks.
Matt Murphy: Great. Thank you, operator. And look, I'd just like to thank everybody for your interest in Marvell and for joining the call. We're off to a great start with our first quarter in fiscal 2026. I'm very excited to be guiding a $2 billion quarter for the second quarter, and seeing that all the effort that the Marvell team has put in is coming to fruition relative to ramping some of these key programs and executing to meet our customer needs. And I'm looking forward to connecting with everybody at the custom silicon event for investors in a couple of weeks and giving a deeper dive into this quite large opportunity in front of us. So thanks, everybody, and we'll talk soon. Bye.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude our conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.